Operator: Good morning, ladies and gentlemen and welcome to the Genco Shipping & Trading Limited Second Quarter 2022 Earnings Conference Call and Presentation. Before we begin, please note that there will be a slide presentation accompanying today's conference call. That presentation can be obtained from Genco's website at www.gencoshipping.com.  To inform everyone, today's conference is being recorded and is now being webcast at the company's website, website www.gencoshipping.com. We will conduct a question-and-answer session after the opening remarks. Instructions will follow at that time. A replay of the conference will be accessible anytime during the next two weeks by dialing 888-203-1112 or 719-457-0820 and entering the passcode 7679501. At this time, I will turn the conference over to the company. Please go ahead.
Peter Allen: Good morning. Before we begin our presentation, I note that in this conference call we'll be making certain forward looking statements pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements use words such as anticipate, budget, estimate, expect, project, intend, plan, believe and other words and terms of similar meaning in connection with a discussion of potential future events, circumstances or future operating or financial performance. These forward-looking statements are based on management's current expectations and observations. For a discussion of factors that could cause results to differ. Please see the company's press release that was issued yesterday, materials relating to this call posted on the company's website and the company's filings with the Securities and Exchange Commission, including without limitation, the company's annual report on Form 10-K for the year ended December 31, 2021. And the company's reports on Form 10-Q and Form 8-K subsequently filed with the SEC. At this time, I would like to introduce John Wobensmith, Chief Executive Officer of Genco Shipping & Trading Limited.
John Wobensmith: Good morning, everyone. Welcome to Genco's second quarter 2022 conference call. I will begin today's call by revealing our Q2, 2022 and year-to-date highlights providing an update comprehensive value strategy, financial results for the quarter and the industry's current fundamentals before opening the call up for questions. For additional information, please also refer to our earnings presentation posted on our website. Genco's earnings power remains strong and we continue to benefit from the significant operating leverage of our sizable fleet and best-in-class commercial operating platform. During the second quarter of 2022, Genco achieved strong financial results with our earnings improving sequentially from the first quarter, while rising nearly 50% on a year-over-year basis. During the quarter, we continue to successfully execute our value strategy, which is focused on paying meaningful and sustainable dividends throughout the cycles deleveraging and capitalizing on compelling growth opportunities for the benefit of shareholders. Most notably, we declared a dividend of $0.50 per share for the second quarter of 2022 representing an annualized yield of 10% based on our current share price. We have now paid 12 consecutive quarterly dividends totaling $3.015 per share. Having front loaded the majority of our drydocking CapEx in the second quarter of 2022. We anticipate our third quarter dividend to rise substantially. The quarter-to-quarter variance in drydocking CapEx alone represents a $0.37 per share gain in Q3 versus Q2. Genco's balance sheet strength and low breakeven levels remain core differentiators of us versus our publicly traded peers. Along with substantial dividends, we also prioritized debt paydowns as we continue to lower our overall cash flow breakeven rates, which we believe is essential for paying dividends across volatile rate environment. These measures together with those executed in 2021 have led Genco to create the most compelling risk reward model in the drybulk public markets are a combination of low financial leverage, high operating leverage and industry low cash flow breakeven rates. Continuing to paydown debt during a time that we do not have any mandatory debt repayments is consistent with our medium-term goal to reduce our net debt position to zero. During the quarter, we maintain an intense focus on rewarding shareholders through distributing compelling dividends while continuing to delever which in turn, we believe enables sustainable dividends over the long-term. We view this deleveraging as prudent to further improve our financial standing overtime so that Genco - is in an even stronger position to take advantage of attractive growth opportunities as markets develop. From an earnings perspective, we generated a strong time charter equivalent rate during the quarter of $28,756 per day, an increase of 36% from the same period in 2021. Looking ahead to the third quarter of 2022, we can expect a firm TCE as we have approximately 79% of our available days booked at $25,059 per day. In terms of current market trends for the balance of the year, we believe a rise in iron ore export volumes and China stimulus measures to be supportive for freight rates, particularly for the major bulk vessels from current levels. Our overall constructive outlook for the drybulk market, though centers around the historically low order book as a percentage of the fleet. As a direct result of this low order book, demand growth has a low threshold to exceed in order to outpace supply growth, to further tighten market fundamentals. At this point, I will now turn the call over to Apostolos Zafolias, our Chief Financial Officer.
Apostolos Zafolias: Thank you, John. During the second quarter, we took advantage of a, strong earnings environments to continue to paydown debt as we maintain a commitment to reducing leverage and breakevens have demonstrated the operating leverage of our fleet and our ability to return significant capital to shareholders. On a cumulative basis since as part of 2021, we have paid down $261 million of debt or 58%, enabling Genco to achieve a net loan to value of 12%. Notably, the current stock value of our fleet is over two times our debt outstanding. For the second quarter of 2022, we declared a $0.50 per share dividend representing an annualized yield of 10%. As John mentioned, we believe we're well positioned to increase the dividend in the third quarter. For Q2, 2022, the company recorded net income of $47.4 million or $1.12 basic and $1.10 diluted earnings per share. Our second quarter EBITDA was $64.2 million, as compared to $50.2 million for the same period last year. Our cash position as of June 30, 2022, was $50.6 million. Our revolver availability as of June 30 was $219 million, therefore resulting in a total liquidity position of $270 million, which provides significant flexibility for us to continue delivering under the three pillars of our comprehensive value strategy. In Q2 of 2022, we voluntarily paid down debt totaling $8.75 million, representing our run rate quarterly voluntary debt repayments. Although, we have no mandatory debt amortization payments until 2026, when the facility matures we plan to continue to voluntarily delever with a medium-term objective of reducing our net debt to zero. Following are substantial deleveraging since the beginning of 2021, our debt outstanding was $189 million as of the end of the second quarter, which resulted in net debt of $138 million. Also important to note, we have interest rate cuts in place with various durations through March 2024, which limit our exposure to interest - to rising interest rates. As I mentioned, our Board of Directors declared a dividend of $0.50 per share for the second quarter in line with our value strategy framework. Walking down our dividend formula, this consisted of operating cash flow of $63 million dollars less debt repayments of $8.75 million drydocking ballast water treatment system and energy saving device costs of $22.6 million and the previously announced reserves of $10.75 million. Importantly, included in our expenses for the quarter was one-time expenses of $9.3 million for ballast water treatment systems, as well as savings - energy savings devices, which we estimated to have a payback period of two to three years and believed continue to enhance shareholder returns over the long-term. Going forward, we plan to continue communicating TCE estimates for the fixed portion of our fleets' available days, estimates on the expense side and the anticipated level of the reserve. On Slide 8, we have provided an illustration of the expense estimates for the third quarter of 2022. In relation to drydock expenses, we frontloaded our drydocking in Q2 which we expect will result in lower drydocking CapEx for Q3. Furthermore, we recorded higher vessel operating expenses for the second quarter as a result of completing our transition to our new technical management joint venture. During the first half of the year, we experienced higher crew expenses associated with repatriating Chinese crews from our former technical managers during strict zero COVID regulations in China, and - higher repair and maintenance costs on certain vessels, as well as an increase in the purchase of stores and spares as we complete the integration of the vessels into the joint venture. Having completed the extensive changeover of our crews to Indian and Filipino crews and replenished our vessels stores and spares, we expect our operating expenses to normalize during the second half of the year. In total, the expense and reserve side of the equation for Q3 are estimated to be $54.9 million. Included in that figure is we expect to reserve a $10.75 million, which is based on $8.75 million of voluntary debt repayments expected to be made in the third quarter, as well as estimated cash interest expense. I will now turn the call over to Peter Allen our SVP of Strategy to discuss the industry fundamentals.
Peter Allen: Thank you, Apostolos. During the second quarter of 2022, freight rates continued their sequential improvement from the seasonally softer first quarter. The Baltic Capesize Index rose from approximately $11,000 per day towards the end of April to nearly $40,000 per day one month later. This highlights the upside potential and operating leverage inherent and owning Capesize vessels, while Supramax rates mostly trade in a solid range of $25,000 to $30,000 per day during the quarter. As we progress through the third quarter and second half of the year, we anticipate and uplift in seaborne iron ore cargo availability. Specifically production guidance from large Brazilian iron ore miner, Vale, suggests an uplift in volumes ranging from 26% to 33% higher in the second half of the year versus the first half of the year. We expect this rise in shipments to coincide with China's economic policies which have been geared towards stimulating the economy probably following a series of COVID-related lockdowns earlier in the year. Regarding energy markets, we continue to see tightness globally as more regions turn towards coal imports. We have seen a rerouting of cargo flows as Russia exports more coal to China and India while Europe has sourced more coal from U.S., Colombia and Australia, which has increased ton miles. On the grain side, a strong Brazilian corn crops helped to offset a portion of the reduced Ukrainian export volumes. We expect Brazil to begin exporting corn to China by year end which represents a new long haul trade route, which should be beneficial for minor bulk vessels. We believe grain shipments from Ukrainian ports may gradually improve in the coming weeks following the deal with Russia to reopen Black Sea ports for shipments, but it remains a highly fluid situation. If we were to experience elements of grain exports, we would view the increased supply as positive not only for freight rates, but the global economy as a whole to help alleviate food supply shortages, particularly in third world countries. Regarding the supply side net fleet growth in the year-to-date is approximately 1.5%. Going forward historically low order book as a percentage of the fleet and only 7% combined with both near-term and longer-term environmental regulations are expected to keep net fleet growth low in the coming years. Overall, we believe - these positive supply side dynamics provide a solid foundation for the drybulk market, and lead to a low threshold for demand growth have to exceed in order for improved fleet wide utilization and freight rates. This concludes our presentation and we would now be happy to take your questions.
Operator: Thank you.  Our first question today comes from Liam Burke of B. Riley. Please go ahead.
Liam Burke: Thank you. Good morning, John. Good morning and Apostolos.
John Wobensmith: Good morning, Liam.
Liam Burke: John in Peter's, prepared comments he was talking about the Vale or the supply side of the iron ore expecting to up shipments. And then China, we're seeing fits and starts. How are you viewing the demand side of the iron ore equation for the second half of the year and obviously a derived question is the capesize rates?
John Wobensmith: Liam, I think the COVID lockdowns went on longer than what we expected. And I would say what most people expected. And there's no doubt that that has hurt on the steel production side and iron ore imports have been lower than anticipated. Having said that, as Peter mentioned, looking at you know, even in the low end of values revised guidance would still imply more than more than 20% gain in the second half versus the first half in terms of volumes of iron ore being shipped from, from Brazil from Vale. So - and I think if you look at years past, usually whatever is available to ship, does get shipped. It's less dependent on outbreak demand. So we may see prices of iron ore go down a little bit, but we still think those volumes are going to appear. Having said that, I do think it's going to be a little later this year than maybe what we've seen in years past. So we could have a stronger fourth quarter versus in years past usually - yet you usually have a very strong Q3 and then a softer in Q4. So - and then if you go to the back of the Chinese stimulus, again, that has sort of just started to click in. And usually, that takes a quarter or two in terms of lag, before you see the benefits of that.
Liam Burke: Great. And on your budget, your daily vessel operating expenses, you had a lot of expenses in the quarter. Your budgeted number is significantly lower third to fourth - second to third quarter. Was there that much one-time expense in there? And are you going to move any variable costs down in that budget number?
Apostolos Zafolias: Yes, Liam. So the expenses in the second quarter were due to two things -- higher expenses in the second quarter were due to two things. Primarily, one, higher crew costs associated with the crew changes because of Chinese crews that we were repatriating. We're now done with that. So therefore, we expect significantly lower expenses on that side for the second half. And then secondly, you had higher R&M spares and storage expenses for the vessels that were joining the new technical management JV. After having replenished the stores and spares on those vessels, we do expect significantly lower expenses for the second half. And we have guided - we have provided an estimate of $4,950 per vessel per day for our Q3.
John Wobensmith: Yes, so and we still think - we still think we'll be able to hit our annual budget, but the second quarter had a spike, particularly in the stores and spares, as Apostolos mentioned. That's more of a timing issue than anything else.
Operator: We will now take a question from Omar Nokta of Jefferies. Please go ahead.
Omar Nokta: Thank you, thanks guys, and just - maybe just touching on that last point about the OpEx. So it sounds like you're feeling pretty confident in bringing down that number to that $4,950 as you highlight. I guess that really does suggest that OpEx maybe quarter-over-quarter could decline and that's pretty sizable $10 million, does that sound fair?
Apostolos Zafolias: Yes, that's right, for the quarter-over-quarter variant that's right, Omar.
Omar Nokta: Okay yes, that's pretty significant. And I guess, in terms of the dividends, you obviously declared a pretty solid $0.50 for the second quarter. And just as we look at the table that you've given us and with the reserve and the slower OpEx that suggests then that even with the potentially softer rates here thus far into third quarter, you could actually pay out a higher dividend when you report 3Q? Do you kind of - is that how you see it potentially?
John Wobensmith: Yes, that's how we see it. So we've got almost 80% fixed, a little over $25,000 a day. I think even if you use the FFA curve for the remaining 20%, third quarter will be - will definitely be a higher dividend than the second quarter.
Omar Nokta: Okay good. And then maybe, John, just sort of big picture, because you guys have done obviously a terrific job going back to the beginning of 2021 and really strengthening the balance sheet. And as you've highlighted, your LTV is down to a very strong 12%, which really gives you plenty of flexibility in all kinds of markets. What are you thinking about - and I guess you did talk about this a little bit, John, in your commentary about net debt zero? The $8.75 million that you're reserving each quarter in anticipation of the dividend, how should we think about you actually making those prepayments you've been doing that, as we think about the third quarter, fourth quarter - with some visibility, do you think that you'll be continuing to pay down, say, that $8.75 million, rather than it being a reserve, is it actually going to continue to be utilized to paydown the facility?
John Wobensmith: Yes look, our plan at this point, Omar, is to continue to be paying down that $8.75 million per quarter. And we'll also, on top of that, build up the $11 million reserve per quarter. So that is the current plan. I don't see that changing at all for the second half of the year. And we will - at year-end, my guess is we'll evaluate where we want to be. And if there's, any changes to that, we'll let the market know. But at this point, I don't anticipate anything. We're still on track to get down to that. If you take that quarterly debt repayment as well as that quarterly reserve, we're still on track to get to a net debt zero by the end of 2023.
Omar Nokta: Yes okay. It's interesting, John. And just to make sure I have this correct. The $188.5 million that you have outstanding in debt today, there's nothing due on that until 2026?
John Wobensmith: There is no mandatory amortization. Everything we're doing right now is voluntary prepayment.
Operator:  Our next question today comes from Greg Lewis of BTIG. Please go ahead.
Greg Lewis: Hi, thank you and good morning everybody. I feel a little bit like a heel asking this question, but I'm going to ask it anyway. John I mean, you guys are doing all the right things, paying dividends and getting the balance sheet where it needs to be. That being said, it doesn't seem like - it doesn't seem like the stock is on a relative basis where it should be or? And so, as you think about that, realizing that we just started on this strategy, and we've really only been able to execute it on for a couple of quarters now. At a certain point, when could we start thinking about meaningful buybacks?
John Wobensmith: Yes so Greg, I'm frustrated probably just like you in terms of where the equity is from a valuation standpoint. NAV - and you know - I don't even like that metric, but the reality is NAV is probably somewhere around mid-20s today. And certainly, from an enterprise value EBITDA, we should be trading in the mid-5s, 5 to 6 than in the mid-3s right now. And history would tell you that. Though, the equity markets in general are obviously not cooperating for a lot of companies.
Greg Lewis: Sure.
John Wobensmith:  So - and I also think that the dividend strategy, as you pointed out, this is really only the second full payout that we've done, and we want to give it some more time to season. We truly believe that once we get three or four quarters under our belt that, that seasoning will start to take place. So that's the backdrop. Now, if you look at stock buybacks, and I can certainly see how they make sense on paper, but I would also tell you that they just don't move the needle very much from an NAV standpoint, unless you do a huge buyback. And in order for us to do something like that, obviously, we would lever up, and that's not desirable. That has not worked for quite a few companies in the past, who have levered up and then done share buybacks. And then had to go into the market and do more expensive sale-leaseback transactions just to delever . So looking at the numbers, Greg, they just don't work that well. You're talking about 1%, 2% accretion on NAV. And we think the better strategy right now is to stick with the dividend payout. And - with the intention that, that starts the season and that we start to trade at higher multiples in terms of cash flow.
Greg Lewis: Okay great and thank you that. And then as we look ahead to - it's interesting, there's been a lot of talk, obviously, for obvious reasons about Eastern European - the Eastern European grain trade. That being said, we're actually coming into the - we're kicking off the North American grain trade? Is there any way to kind of qualitatively think about the disruptions in Europe and what that potentially can mean for the North American grain trade, i.e., ton miles, inventories, any kind of just - I know that I think Liam was asking about Supramaxes. Any kind of way to think about the North American grain trade and the set up for that over the next couple of months?
John Wobensmith: Well look, I wish it was as easy as A plus B equals C, but this is shipping. So you know that, that's not necessarily the case having said that the U.S. is going to have a strong season. It will extend ton miles. So that will be good. That - we should start seeing the benefit of that in the late September going into October timeframe. I do think one of the things that is missing right now is the Black Sea season. This typically would be when you would really see the Black Sea region pick up and be helpful to the midsized vessels. So that is missing a little bit right now. But as I said, we're optimistic coming into the latter part of the year. And you can see in our strategy that we put our money where our mouth is. We actually kept second quarter pretty spot. But at the same time, we were fixing forward for the third quarter, which you can see in the forward fixtures. So as we get into this - into the fourth quarter, I do think you're going to see a better market on the midsize ships.
Operator: We will now take a question from . Please go ahead.
Unidentified Analyst: Yes good morning John, good morning Apostolos. I had two questions. The first of which is, can you talk about your chartering strategy, the mix between time charters and spot? It seems like over time, that is going to decline. And is that sort of you're comfortable with or just sort of could you give us an idea of what your optimal mix is between time charters and spot?
John Wobensmith: I don't think it's a percentage mix. We take advantage of opportunities, particularly in the Capesize sector. That's obviously where the most volatility is. So when we see rates get to a certain number, we will then fix which we have done in the past. Unfortunately, we haven't - we're still bullish on the Capesize sector. So at where TCE rates have been over the last couple of months, it just didn't make sense to the fix. And particularly with our Capesize fleet having 100% scrubbers, that's really been the right move for us. Having said that, as I've said almost every quarter if we see something and the opportunity to take one to two years of exposure off the table on Capes at a decent rate, we're going to do that. I think the minor bulks are a little different. We have a very robust trading platform there. We've been able to do very well and create alpha over and above the benchmarks with our forward cargo bookings and creating arbitrage opportunities. So that will continue. But just to reiterate, you'll see us continue to do Capesize charters as the market improves again.
Unidentified Analyst: Great. And then if we could talk about the drydocking CapEx, ballast water treatment. On the second quarter, it came in a little light, and it looks like some activity was shifted into the third quarter and third quarter went up. But also even though days are declining as far as idle basis fourth quarter, it looks like it's going to jump again by about $4 million to $10 million? Can you help explain what's going on there as far as while expecting  half dry dock CapEx is higher than what you put out in the second quarter? And then also give us a preliminary view on drydocking activity, ballast water treatment, CapEx into 2023?
Apostolos Zafolias: Yes sure, Paul. So the - some of - as you rightfully pointed out, some of the expenses from Q2 slipped into Q3 and Q4, having said that, we are coming off of $22.5 million of drydock CapEx-related expenses into $6.8 million of CapEx-related expenses for the third quarter, so significantly lower. The reason for some of the days slipping at higher costs was higher steel replacement costs, than - what was originally expected. But again, we expect a much lower expense for Q3 at $6.8 million, and Q4 at $10.1 million. For 2023, we only have $2.4 million of expense. It's really just 70 days across two ships. So those numbers definitely tail off for the next year.
Unidentified Analyst: And Apostolos, is that a realistic expectation for 2023? I mean are there - is that something we - that is likely to stay in that range or potentially increase? Can you just give us an - so you're looking at significantly lower drydock ballast water treatment CapEx, which part of the dividend formula in 2023?
Apostolos Zafolias: Yes, that's correct. And yes, it is realistic. It has to do with the timing of our drydocking and special survey cycles. And obviously, some vessels were pushed into this year in order to get ahead of IMO 2023 regulations. So 2023 is realistic at $2.4 million.
John Wobensmith: Also Paul, keep in mind, this year, we're spending almost $15 million on energy saving devices to get ourselves in a position for IMO 2023 and improve the fuel efficiency on the fleet.
Operator: At this time, there are no more questions. This concludes the Genco Shipping & Trading Limited conference call. Thank you, and have a nice day.